Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Dolby Laboratories Conference Call discussing Fiscal Third Quarter Results. During the presentation all participants will be in a listen-only mode. Afterwards, you will be invited to participate in a question-and-answer session. As a reminder, this call is being recorded, Wednesday, July 27, 2016. I would now like to turn the conference call over to Elena Carr, Director of Corporate Finance and Investor Relations for Dolby Laboratories. Please go ahead, Elena.
Elena Carr - Director-Corporate Finance & Investor Relations: Good afternoon. Welcome to Dolby Laboratories' third quarter 2016 earnings conference call. Joining me today are Kevin Yeaman, Dolby Laboratories' President and CEO; and Lewis Chew, Executive Vice President and Chief Financial Officer. As a reminder, today's discussion will include forward-looking statements. These statements are subject to risks and uncertainties that may cause actual results to differ materially from the statements made today. A discussion of some of these risks and uncertainties can be found in the earnings press release that we issued today under the section captioned Risk Factors, as well as in our most recent Form 10-Q. Dolby assumes no obligation and does not intend to update any forward-looking statements made during this call as a result of new information or future events. During today's call, we will discuss GAAP and non-GAAP financial measures. A reconciliation between the two is available on our earnings press release and in the Dolby Laboratories' Investor Relations Data Sheet on the Investor Relations section of our website. As for the content of this call, Lewis will begin with a recap of Dolby's financial results and provide our fiscal 2016 outlook and Kevin will finish with a discussion of the business. So with that introduction behind us, I will now turn the call over to Lewis.
Lewis Chew - Chief Financial Officer & Executive Vice President: Thanks, Elena. Good afternoon, everyone. Let's jump right into third quarter results starting with revenue. Total company revenue in the third quarter was $278 million, of which licensing was $253 million and products and services were $25 million. The licensing revenue was $48 million higher than last year's Q3 and this is mostly due to an increased adoption in mobile and DMAs combined with timing of payments weighted more heavily towards Q3. From time-to-time, we do have customer arrangements where payments for units shipped end-up being concentrated in one quarter or more quarters, in this case it's Q3 of each year. So as I go through my discussion of trends in the various market segments, I will include comments on the timing issue where appropriate. Let's start with our largest segment, broadcast. Broadcast represented about 39% of total licensing into third quarter. Revenues in this market were down sequentially by about 11%, due mainly to normal seasonality. Year-over-year, broadcast, increased by around 5%, due primarily to higher TV volume and higher licensing revenue for professional products. PC revenues were about 19% of total licensing in the third quarter. PC licensing was up sequentially by about 15% and year-over-year by about 25%. Both of these increases were due primarily to timing of payments in Q3. Accordingly, we anticipate that PC revenue would drop down in Q4 to around 12% of licensing. Mobile devices represented approximately 18% of licensing revenue in the third quarter. They were up about 69% sequentially and 73% year-over-year. The growth in mobile is being driven by increased penetration of Dolby Audio on to mobile device platform that growth is reflected primarily in Q3, due to timing of payments. So, we anticipate that mobile will decline sequentially in Q4 and be about 14% of licensing for that quarter. This pattern is consistent with the outlook and the comments that we provided three months ago. Consumer electronics in the third quarter represented about 13% of total licensing. They were down about 6% sequentially due to seasonality, offset partially by timing of revenue. And year-over-year consumer electronics were up by about 46% driven by timing and higher recoveries, and higher volumes across various devices such as DMAs and AVRs, offset partially by lower volume in Blu-ray and DVD players. Licensing revenues in other markets comprised about 11% of total licensing in Q3. They were down sequentially by approximately 20% due mainly to seasonally lower volume from gaming consoles. And year-over-year, other markets increased by about 19% driven by higher revenue from automotive as well as new revenue from Dolby Cinema. Products and services revenue was $25 million in Q3, which was the same as last quarter and about $2 million lower than Q3 of last year. The year-over-year decline is mainly due to industry trends related to the adoption of digital cinema. Let's move on to margins and expenses. Total gross margin in the third quarter was 91.1% on a GAAP basis and 92.1% on a non-GAAP basis. Product gross margin on a GAAP basis was 31.7% in the third quarter compared to 30.3% in Q2. And product gross margin on a non-GAAP basis was 39.2% in the third quarter compared to 38.1% in Q2 and the increase in product margin was driven by lower expenses for excess and obsolete inventory and also by lower manufacturing cost. Operating expenses in the third quarter on a GAAP basis were $171.8 million compared to $167.6 million in the second quarter. Operating expenses on a non-GAAP basis were $154.5 million in Q3 compared to $149 million in the second quarter. Operating income in the third quarter was $81.2 million on a GAAP basis, or 29.3% of revenue, and $101.2 million on a non-GAAP basis or 36.5% of revenue. The effective tax rate for the third quarter was 22% on a GAAP basis and 23% on a non-GAAP basis, reflecting discrete benefits. Net income in the third quarter was $63.6 million on a GAAP basis or 22.9% of revenue, and was $78.3 million on a non-GAAP basis, or 28.2% of revenue. Diluted earnings per share in the third quarter on a GAAP basis were $0.62 compared to $0.66 in the second quarter and $0.34 in Q3 of last year. On a non-GAAP basis, third quarter diluted earnings per share were $0.76 compared $0.82 in Q2 and $0.49 in Q3 of last year. During Q3, we generated $126 million in cash from operations and ended the quarter with $985 million in cash and investments. We bought back about 175,000 shares of our common stock in Q3 and had about $67 million of stock repurchase authorization remaining, as we began the fourth quarter. We also announced today a quarterly cash dividend of $0.12 per share payable on August 17, 2016, to shareholders of record on August 8, 2016. Now let's review the outlook for the remainder of the year. We estimate that total revenue in Q4 will range from $220 million to $230 million. Within that, we estimate the licensing revenue will range from $195 million to $205 million while products and services revenue is expected to be around $25 million. The decrease from Q3 to Q4 is due mainly to the timing of payments that I discussed. Here are some notable factors embedded in our Q4 revenue projection. We estimate that broadcast licensing as a percentage of total licensing will return to being 45%-plus. We estimate that PC will be about 12% of licensing in Q4. We also estimate that mobile will be around 14% of total licensing in Q4, and as a result, mobile should end up at around 13% of total licensing for the full year, which compares favorably to the 10% or 11% of licensing that we are seeing in the first half of this year. So those are my comments on the Q4 revenue outlook. By the way, at the next earnings call about three months from now, we'll be providing our first outlook on fiscal 2017. And in the meantime, some of you are probably building your own models, so I'd like to point out that, all else held equal, we do anticipate that there will be a bump in revenue in the third quarter of fiscal 2017 for timing of payments along the lines of what I discussed a minute ago about this year's Q3, affecting mostly mobile and PC and to a lesser extent, consumer electronics. So, let me now get back to finishing up the Q4 outlook for this year. Gross margin in the fourth quarter is projected to range from 88% to 89% on a GAAP basis and 89% to 90% on a non-GAAP basis. Operating expenses in the fourth quarter are projected to range from $172 million to $175 million on a GAAP basis and from $154 million to $157 million on a non-GAAP basis. Other income in the fourth quarter is projected to be approximately $1 million and our effective tax rate for the fourth quarter is estimated to be around 26% on both the GAAP and non-GAAP basis. Based on a combination of the factors I just went over, diluted earnings per share in the fourth quarter are projected to range from $0.16 to $0.22 on a GAAP basis and from $0.31 to $0.37 on a non-GAAP basis. For the full fiscal year 2016, we now estimate that revenue will range from $1.015 billion to $1.025 billion. Within that, licensing revenue for 2016 is estimated to range from $910 million to $920 million, while products and services are projected to be around $105 million. Full year operating expenses are now estimated to be around $610 million plus or minus on a non-GAAP basis and about $685 million plus or minus on a GAAP basis. Full year gross margins on a GAAP basis are projected to range from 89% to 90% and non-GAAP gross margin should be about a point higher. And the effective tax rate for the year is projected to range from 22% to 23% on a non-GAAP basis and about one point lower on a GAAP basis and all of this is lower than our ongoing tax rate of 25% to 26%, due to discrete tax benefits realized this year. So with that I will now turn the call over to Kevin Yeaman. Kevin.
Kevin J. Yeaman - President, Chief Executive Officer & Director: Thank you, Lewis and good afternoon, everyone. It was a great quarter and we continue to build momentum with our new initiatives. Opening the first Dolby Cinema locations in China, expanding the number of Dolby Vision televisions on the market around the world and adding a new voice partner. And I'll get to all that in a moment. I'd like to start today by updating you on our continued progress and expanding our leadership in audio entertainment. We started this quarter with the big news that Dolby Audio was included in Apple's iOS version 9.3. Of course, Apple's adoption of Dolby Audio in iOS is a major milestone in a partnership that is developed over many years. Dolby Audio is integrated in Safari and iTunes and now Apple customers can enjoy content in Dolby Audio on Apple TV, Macs, iPads and iPhones. Meanwhile, we continue to make progress in expanding the presence of Dolby Atmos. Dolby Atmos is installed or committed in nearly 2,000 cinematic screens with 490 Dolby Atmos titles announced or released. And of course, Dolby Atmos has expanded well beyond the cinema and into AVRs, sound bars, speakers, smartphones, tablets and set-top boxes. The Yamaha Dolby Atmos Sound Bar, which was released a few quarters ago, has received outstanding reviews and we're excited that the next Dolby Atmos sound bar from Samsung will be available soon. Dolby Atmos content is available through Blu-ray discs and over-the-top services, and is in the process of being adopted by number of pay-TV operators globally. This quarter, the French Rugby League Final was delivered to Orange customers in Dolby Atmos and Comcast will begin delivering Dolby Atmos content this year. Speaking of broadcast, we had another strong quarter and we continue to position ourselves well for the emerging market transition to digital broadcast. This quarter, we had some key service provider wins in China, as China Telecom and China Unicom specify Dolby Audio onto their 4K IP set-top boxes. Overall, we continue to expand our leadership in audio entertainment experiences and to create new opportunities for growth. At the same time, momentum continues to build for our new initiatives. Let me start with Dolby Cinema, which combines the most powerful imaging and audio technologies to deliver the ultimate cinema experience. Last month, in partnership with Wanda, we opened the first Dolby Cinema locations in China, the fastest growing cinema market in the world. We now have four locations open with Wanda in China and they have publicly stated that they plan to accelerate their rollout, now targeting 100 Dolby Cinema screens in the next two years. Wanda is also a partner on the production side, and this quarter released For A Few Bullets, the first Chinese movie optimized for Dolby Cinema. We look forward to working more closely with China's movie industry to create a steady flow of local language content for Dolby Cinema. We've been busy in China. Just two weeks ago, Jackie Chan Cinemas opened its first Dolby Cinema. This is the first Dolby Cinema in Beijing and it's at the highest grossing complex in China. At the same time, Jack Chan Cinemas announced, that they now plan on opening 10 more Dolby Cinema sites within the next two years. In total, our partners are planning to rollout 220 cinema locations around the world. There are now more than 30 Dolby Cinema locations open from exhibitor partners including AMC in the United States, Wanda and Jackie Chan in China, Vue in the Netherlands and Cineplex in Austria. The content pipeline for Dolby Cinema is strong and growing. In just over a year, there are 50 Dolby Vision theatrical titles announced or released and from every major studio. Recent movies include Star Trek Beyond and The Legend of Tarzan. Earlier this week, Disney announced seven new Dolby Cinema titles to be released over the next year. Over 1 million guests have now experienced Dolby Cinema, and we look forward to working with our partners to provide the best possible movie-going experience around the world. Now let me turn to Dolby Vision. The availability of Dolby Vision enabled TVs also continue to grow this quarter. LG, the second largest TV manufacturer in the world, now includes Dolby Vision globally on their full lineup of 2016 OLED and Super UHD LCD TVs. Vizio, the second largest TV manufacturer in the U.S., now includes Dolby Vision on their R-series, P-series and M-series. This represents three of their five television lines with price points as low as $849. As more TVs are available in the market, we see increasing momentum on the content side. Lions Gate announced that they will be creating Dolby Vision content for the home, joining Universal, Sony Pictures, Warner Brothers and MGM. This quarter, Amazon started streaming in Dolby Vision, joining Netflix and Vudu. Both Amazon and Netflix have original content available in Dolby Vision. To-date there are over 50 Dolby Vision titles for the home and we expect to see well over a 100 titles by the end of the calendar year. And we weren't down in China. The first Dolby Vision TVs from Skyworks are now shipping in China. TCL, the third largest TV manufacturer in the world, will also have Dolby Vision TVs in market this year. And we expect Dolby Vision content to be available in China from one or more OTT providers soon. The TVs that are currently shipping are getting tremendous reviews. I'm excited about the continued progress with Dolby Vision this quarter and we are focused on building on this momentum. Finally, let's talk about Dolby Voice. This quarter we announced and launched Dolby Voice with a new partner, Highfive, which makes collaboration and videoconferencing easy to install and easy to use. During the quarter, Highfive integrated Dolby Voice into its cloud-based software and hardware solution. Highfive meetings can benefit from the exceptional clarity and crispness of Dolby Voice. Cloud-based collaboration is a rapidly growing market; I'm excited about what Dolby Voice can bring. So let me wrap up. I am very happy with the progress we've made this year in expanding our leadership in audio and in bringing new experiences to the market. We continue to broaden our presence in online, mobile and broadcast. We've opened our first Dolby Cinemas in China and we continue to gain momentum with our openings in the U.S. Dolby Vision TVs are now shipping globally, and we are expanding the availability of Dolby Voice with new partners. All of this gives me confidence that we are doing what we need to do to drive revenue and earnings growth. I look forward to updating you next quarter. And with that, I will turn it over to Q&A.
Operator: Thank you. To be fair to all participants, we ask that you limit yourself to one question and a follow-up question, until all participants have had a chance in the first round. If time allows, we will then come back to answer any remaining questions. One moment please for the first question. Your first question comes from Mike Olson with Piper Jaffray.
Mike J. Olson - Piper Jaffray & Co. (Broker): Hey, good afternoon. I just had a couple questions. You mentioned that some of that year-over-year growth in CE and PC for the quarter was a result of higher license payments, does that imply that these payments were more than normal, and I guess what would drive that if they were – is it just timing of when you get payments versus when you've gotten them in other years, or is it a result of better volumes or what causes that?
Lewis Chew - Chief Financial Officer & Executive Vice President: Hey, Mike. This is Lewis Chew. Well, I guess, I didn't have to say Chew, there's only one Lewis in the room. For CE, some of that was additional volume, because we do see growth in DMAs. But in PC, I would say it's not PC, it's really from timing of payments between quarters. So we don't think of PC as growth market, and certainly I already pointed out in mobile world, we are seeing growth in mobile, which then would help in addition to that by the timing of payments this quarter.
Mike J. Olson - Piper Jaffray & Co. (Broker): Okay. And then on the new initiatives, I think you previously talked about there being $20 million or so in revenue contribution from new initiatives in fiscal 2016, I realize you're not giving fiscal 2017 guidance here, but is there anything you can say just about the kind of ballpark magnitude of growth in revenue from new initiatives next year?
Lewis Chew - Chief Financial Officer & Executive Vice President: Kevin?
Kevin J. Yeaman - President, Chief Executive Officer & Director: Well, as you said we're not going to give guidance for 2017. But yes, we are targeting $20 million from new initiatives this year, and we see those as contributors to growth next year. And what you can look to is the growth that we've had in Dolby Cinema deployments throughout the year, not to mention the additional commitments we have going forward. Our first Dolby Vision TVs were – changed the market this year and the most recently closed quarter was a big quarter for additional TVs becoming available in the market, and then we are – each of the last quarters, we've been adding – we added a new Dolby Voice partner. So we'll be expanding the presence of that. So, we absolutely see them as contributors to growth next year.
Mike J. Olson - Piper Jaffray & Co. (Broker): Okay. And then one last one, I know you said this, can you please repeat Lewis what you said about buyback and how much is remaining on the authorization. I just didn't get it written down?
Lewis Chew - Chief Financial Officer & Executive Vice President: Yeah, so during the quarter, we bought back about 175,000 shares, and we entered Q4 with about $67 million of buyback authorization remaining.
Mike J. Olson - Piper Jaffray & Co. (Broker): Yeah. Great. Thanks very much.
Lewis Chew - Chief Financial Officer & Executive Vice President: Welcome.
Operator: And we will take our next question from Steven Frankel with Dougherty.
Steven Frankel - Dougherty & Co. LLC: Good afternoon. Let me go back to the PC bump again. So I'm just trying to understand whether this was a customer or customers that you thought originally were going to be in Q4, and they ended up in Q3 kind of as a one-time bump and then next year it will be in Q3 again. Just help me understand where it was relative to your expectations. Because you look at the Q4 guide and revenue seems a little light relative to at least where I thought it was going to be.
Lewis Chew - Chief Financial Officer & Executive Vice President: Hey, Steve. This is Lewis. Yeah. I think, as I said to Mike earlier, we don't view PC as fundamentally a secular growth market. And we do have to make estimates about timing and amounts between quarters based on a variety of data, and that next year I'm signaling that we would expect to see a bump in Q3 as well. So, we wouldn't attribute that to secular growth. And, yeah, there is some estimating that we have to do on our whole – because, obviously, our PC market revenue in totality is driven by a number of customers. So, there's a number of factors that drive how much we estimate lands in Q3 or Q4.
Steven Frankel - Dougherty & Co. LLC: (24:20) I was trying to get you down a little bit. So that was relative to the way we were looking at the company from the outside. Is it fair to say that some of that PC revenue in Q4 got pulled into Q3?
Lewis Chew - Chief Financial Officer & Executive Vice President: I don't know that I would call it pulled in, but I would say that for the year as a whole PC revenue is landing close to what we thought, but more of it landed in Q3 than Q4 (24:49).
Steven Frankel - Dougherty & Co. LLC: Okay. And Q4 by your guidance is showing a little – some operating margin pressure that we haven't seen from several quarters. Is that again related to the same thing that you've got a run rate of expenses and now you've got the revenue slightly shifting from quarter to quarter or is there something else also going on in the margin side that we should be aware of?
Lewis Chew - Chief Financial Officer & Executive Vice President: No. I think it's primarily what you said. We really don't see any degradation, certainly, from an OpEx standpoint, Steve, if I swoop up to the highest level; we started the year thinking and guiding that OpEx would be about $615 million at the mid-point of our guidance. Last quarter, we reduced that slightly to $612 million. And this quarter I am saying that we think OpEx will land at $610 million for the year. So, for the year as a whole, absent any kind of movement between quarters, we feel like we've kept OpEx right in line to being a little bit better than what we thought. So, I think the margin pressure you see is the dynamic of the timing of the revenue and things like that, as opposed to anything more fundamental.
Steven Frankel - Dougherty & Co. LLC: Okay. And I want to stick one more in here. How is the tone of conversation on the Android handset side changed since the Apple announcement has become general knowledge?
Kevin J. Yeaman - President, Chief Executive Officer & Director: Well, I think, clearly Apple adopting Dolby Audio is a big milestone for us and allows us to reach a lot more consumers, allows us importantly to build on the ecosystem of people that bring that experience together, including the service partners that will be delivering the content, the devices. And that helps any discussions we're having, including those throughout the Android ecosystem. I mean anything specific would be anecdotal, but it is certainly our goal to increase our presence in mobile and there's a lot of room in the Android ecosystem in particular to do that. And that's one of the areas we'll be looking for growth as we enter 2017.
Steven Frankel - Dougherty & Co. LLC: Okay, great. Thanks.
Operator: We'll take our next question from Ralph Schackart with William Blair.
Ralph E. Schackart - William Blair & Co. LLC: Good afternoon. I kind of want to just follow-up on Steve's question on the guidance to make sure I understand. So, you entered the year forecasting PC revenue number and then, is it fair to say that more of that or a larger portion of that ended up in Q3 versus Q4. And I guess some Street (27:21) speak; we would think of that sort of getting pulled from Q4 to Q3, is that sound accurate?
Lewis Chew - Chief Financial Officer & Executive Vice President: Yeah.
Ralph E. Schackart - William Blair & Co. LLC: Okay. That's simple. All right. One more then for you Lewis. What would cause the Q4 – assuming you delivered the mid-point of your guidance, what would cause the revenue in Q4 to potentially be sort of down year-over-year, particular in light – with all the new product momentum that you have in the market that continues to grow.
Lewis Chew - Chief Financial Officer & Executive Vice President: Yeah. I think some of that is related to the timing, because like I said, the Q3 bump has the dynamics of moving revenue between quarters. It's not anything that we're doing exclusively on our own. It's a result of the arrangements that we reach, so there could be some dynamics going on there. Like I say, if I swoop up to the higher level for the full year, we came into the year thinking revenue would be $1.015 billion at the mid-point, we now see it being $1.020 billion. So, I can rest comfortably knowing that that's being driven by the growth initiatives that we're after a lot earlier as well as some of our core businesses. So, the rest of it is really timing between quarters.
Ralph E. Schackart - William Blair & Co. LLC: Okay. Maybe kind of one more, a little bit to take a picture on Vision, sort of as you had initial commercial success in 2016 primarily on TVs, can you sort of helps us think about, are there other use cases for Vision beyond just TVs going forward and could those discussions land the commercial rollouts in 2017 or would that be a little bit longer term?
Kevin J. Yeaman - President, Chief Executive Officer & Director: I think there is a big opportunity for us outside of Dolby Vision for TVs and that has of course been our focus this year. I am really pleased with our progress, and then we've got LG as a partner this year. We shipped the first of Dolby Vision televisions from Vizio, from LG, now in China with Skyworks, we have content coming together. That was our focus. We knew that was the best way to establish our presence with Dolby Vision and get us an opportunity to be in discussions about other use cases. But ultimately, I believe that Dolby Vision can enhance any entertainment experience and we will certainly be seeking wins in areas outside of television.
Ralph E. Schackart - William Blair & Co. LLC: Okay. That's it for me. Thank you.
Operator: We'll take our next question from Jim Goss with Barrington Research.
James Charles Goss - Barrington Research Associates, Inc.: Thanks. With the iOS agreement are you on basically all of the Apple devices, all of the iPhones, all of the iPads and what does that bring your attach rate to and mobile devices?
Kevin J. Yeaman - President, Chief Executive Officer & Director: Yes. We are included across the iOS device ecosystem. I don't have the exact total mobile number, but I mean you can look to what the Apple's significant share and that plus our other partners. Some of our larger partners outside of Apple include devices from LG, devices from Lenovo, are two of our bigger partners; Amazon has adopted us throughout their Fire line. So, we've made great progress this year in really establishing the value proposition and as I said earlier this is really important, because what it does is, it also encourages more of the content ecosystem to develop and for our content service providers and application developers to be more confident investing their time into creating higher quality experiences, because people are going to experience them. So that's what gives us an opportunity for, to increase the attach, as we go forward.
James Charles Goss - Barrington Research Associates, Inc.: And it was something like 15% before this agreement is that – am I remembering that correctly?
Lewis Chew - Chief Financial Officer & Executive Vice President: Hey, Jim just to clarify you asking what our attach rate was or what was our percent of revenue from mobile.
James Charles Goss - Barrington Research Associates, Inc.: Well, no, the attach rate and mobile devices.
Lewis Chew - Chief Financial Officer & Executive Vice President: Yeah. We've really have not talked openly about our number there for I would say at least a couple of years. So, I don't think that there was a number like that, that would be in anytime – in recent times now.
James Charles Goss - Barrington Research Associates, Inc.: Okay. And with the new initiatives, is the royalty rate structure similar to some of the prior royalty rates or given the value proposition you're delivering are you getting a better royalty rate levels, as you move into these new agreements?
Kevin J. Yeaman - President, Chief Executive Officer & Director: Well, it's still pretty early days, but obviously we've got increasing number of televisions in the market and we're feeling good about the value proposition and the royalty rates I think combined with the adoption of the market give us confidence that this is a good market opportunity for us and that is going to be a contributor to growth in the years to come.
James Charles Goss - Barrington Research Associates, Inc.: All right. And finally it does appear that an increasing number of the televisions are being sold with 4K HDR, are pretty much all of those compatible with the product you've been delivering or are you sort of the backbone of most of the HDR environments?
Kevin J. Yeaman - President, Chief Executive Officer & Director: Well, Dolby Vision is the solution for Vizio, for LG and now a unit from – the first model from...
Lewis Chew - Chief Financial Officer & Executive Vice President: Skyworks.
Kevin J. Yeaman - President, Chief Executive Officer & Director: ...Skyworks. And we expect a few others in China in the coming quarters. So that's where Dolby Vision is. So outside of that any others are not yet Dolby Vision.
James Charles Goss - Barrington Research Associates, Inc.: Okay. Thanks for now.
Operator: We'll take our next question from Paul Coster with JPMorgan.
Paul J. Chung - JPMorgan Securities LLC: Hi, this is Paul Chung on for Paul Coster. Thanks for taking my questions. So, does the acquisition of Vizio cause any disruption to your Vision plans or does it create opportunities to expand in their products or cross-sell Atmos Digital to their multiple product offerings including smartphones?
Kevin J. Yeaman - President, Chief Executive Officer & Director: I'll tell you what I – here's what I do know, I know that we have a great presence with Vizio in three of their five lines. I know that LeEco has been a customer of ours for many years on the Dolby Audio side, was one of our early adopters broadly throughout their streaming content pipeline. Dolby Audio solution is included on all of their playback devices, so they are believers in the Dolby Audio experience. So hopefully, certainly we're going to seek to make this an opportunity that two partners have come together, because they see synergies in bringing each of their value propositions more broadly globally and that I think would be an opportunity for us.
Paul J. Chung - JPMorgan Securities LLC: Okay. And then switching to Cinema. Can you confirm any potential build-outs with Regal or Cinemark? Do you see, content creators applying any pressure there? Are those discussions taking place? Thank you.
Kevin J. Yeaman - President, Chief Executive Officer & Director: Sure. Well, so, I guess what I would say is, we opened our first full Dolby Cinema location just over a year ago. We now have 30 open. We have 220 committed from our partners, which in the United States is AMC, in China it's Wanda and Jackie Chan, in Europe it's View and Cineplex. And we're focused on increasing that pipeline and bringing on new partners. But we're also really focused on closing the gap between the 30 we have installed and then the 220 we already have committed. And we got 50 titles announced or released in just over a year. I don't know that we've ever had that fast of an adoption for any of our technologies. It's faster than Dolby Atmos. And so, the creative community, I think is very, very satisfied with, enthusiastic about the adoption we have in the market and so that ecosystem is coming together really, really well.
Paul J. Chung - JPMorgan Securities LLC: Okay. Thank you.
Operator: We'll take our next question from Eric Wold with B Riley.
Eric Wold - B. Riley & Co. LLC: Thank you. Couple questions on Cinema. So correct me if I'm wrong, the original Wanda agreement was for a 100 installs over five years and now they're accelerating that to have the 100 in two years. Does that indicate more of those are going into existing locations versus new builds? And then, does that complete the – or increase (36:50) the existing deal or there was a some kind of increase in the total number beyond the original 100, never follow-up?
Kevin J. Yeaman - President, Chief Executive Officer & Director: Yeah. Well, I don't know whether necessarily this is influenced by their view on existing conversions versus new builds. I mean, they're building, as you know, a lot of new screens. So, I'm not sure if we can draw any correlation. There I didn't noticed any big shift in the mix. But, yeah, their commitment to or they are publicly talking about now installing 100 in two years instead of five years. I think this shows the increasing enthusiasm for the solution and they now have four in the market. I mean, before it was a plan to come to market together. Now, we have four in the market. They've been very well received in the market, just as they've been here in the U.S. We already have our first Chinese title in the market. So, I think it just reflects the enthusiasm. I remember we saw the same thing with AMC. They had started off talking about one timetable and shortly after we got into market together and we showed what we could do together, they accelerated their timetable. It should be talking about 50 by the end of this calendar year. So it's all a good sign and we're going to keep focused on bringing more of those Dolby Cinema screens up.
Eric Wold - B. Riley & Co. LLC: And then just follow-up on that, I know that you've got the 50, as you mentioned, AMC by the end of this year, any sense kind of looking into 2017 of the cadence of additional ones from AMC, and then kind of what the cadence would be from Wanda with this new timetable, to get a sense of how many could be installed by the end of this year and the end of next year – calendar years?
Kevin J. Yeaman - President, Chief Executive Officer & Director: I think, we'll probably – I will say that I'm confident in the – I feel very good about not just the pace through the end of this calendar, which includes the 50 from AMC. But I feel very good about how that pipeline is coming together for the following year of deployment. I think we'll probably give more guidance – more specificity on that when we get to our guidance of the 2017 call (39:07).
Eric Wold - B. Riley & Co. LLC: Perfect. Thank you guys.
Kevin J. Yeaman - President, Chief Executive Officer & Director: Thanks.
Operator: At this time we'll take a follow-up from Steven Frankel with Dougherty.
Steven Frankel - Dougherty & Co. LLC: Thank you. Lewis, just remind me what did you say broadcast would represent relatively of the license revenue in Q4?
Lewis Chew - Chief Financial Officer & Executive Vice President: I said that we anticipated returning to being 45%-plus, which is back to being what I normally think of broadcast being, as a percent of our license.
Steven Frankel - Dougherty & Co. LLC: Okay. And then, any commentary on the AMC – Odeon & UCI agreement and does that give you potential expansion opportunities with AMC outside of the U.S.?
Kevin J. Yeaman - President, Chief Executive Officer & Director: Well, I think to – I guess just to state, similar to my answer on Vizio and LeEco. I mean it's nice to win, given that we have a very good relationship with Wanda and a very good relationship with AMC; we are going to view that as a potential opportunity. And it was not say we take anything for granted, we feel confident in our value proposition. And we are going to keep demonstrating that around the globe, and we would love to bring the same value proposition more broadly in markets like Western Europe.
Steven Frankel - Dougherty & Co. LLC: And one last time on the PC bump, just to beat this thing to death, last year was this particular payment spread in – was it spread evenly through the year, was it in Q4? What did it look last year?
Lewis Chew - Chief Financial Officer & Executive Vice President: It was spread evenly last year and there's a bump in Q3 this year.
Steven Frankel - Dougherty & Co. LLC: And is that kind of a shift to paying – instead of paying four times a year paying a couple times a year with this particular customer?
Lewis Chew - Chief Financial Officer & Executive Vice President: Well, I think that's getting beyond the detail we normally talk about. So like I said, I'm trying to give you as much insight as I can into the pattern that you should see. But, I guess that it was spread evenly last year, there's a bump this year. And I also try to clarify that next year, we anticipate that, that bump will occur in Q3 of next year as well.
Steven Frankel - Dougherty & Co. LLC: Okay.
Kevin J. Yeaman - President, Chief Executive Officer & Director: My perspective on this is – on an annual basis...
Steven Frankel - Dougherty & Co. LLC: Yeah.
Kevin J. Yeaman - President, Chief Executive Officer & Director: Things are coming in the way we expected a little better, as reflected by our bump in guidance to $5 million from our last guidance mid-point. And so for PC, that means that, that market annually it's – the market is – the PC seg revenues are lower...
Steven Frankel - Dougherty & Co. LLC: Yeah.
Kevin J. Yeaman - President, Chief Executive Officer & Director: ...and it's more or less tracking PC unit volume. So yes, there is a bump – a timing bump in Q3. But annually, it's what we expected. It doesn't – it extrapolates into next year, although it's held equal (42:19) the way we would've expected.
Steven Frankel - Dougherty & Co. LLC: Yeah.
Kevin J. Yeaman - President, Chief Executive Officer & Director: And likewise with mobile, we see that growing. We came into the year expecting 10% to 11% as Lewis said, we are now looking at around 13%. And the other market that was affected here was CE and CE is the market where we are actually seeing some growth this year. Obviously, there are some pretty decent headwinds in unit volumes of – in the category of AVR and home theatre, a lot of the traditional home theater equipment. But that's being a little bit better offset by sound bars and DMAs.
Steven Frankel - Dougherty & Co. LLC: Yeah.
Kevin J. Yeaman - President, Chief Executive Officer & Director: So that's growth category (43:02). On annual basis, this is a non-event and that's why we raised the guidance by about $5 million for the year. So it really is just where the payments fall.
Steven Frankel - Dougherty & Co. LLC: Okay. And question last, do you feel now that you have sufficient momentum in the business that you can grow license revenue. I know you have an aspirational goal of double-digit, but do you feel pretty confident that this is now positioned to be a growth business?
Kevin J. Yeaman - President, Chief Executive Officer & Director: Well, I think that we can grow and I think we're posting some growth this year and I think that we've had a lot of progress on all the areas this year that are the foundation for growth. I mean, we've continued to have strong execution in the markets around the world that are continuing the opportunities in broadcast. Obviously, we've made substantial progress in mobile with the release of Dolby Audio in iOS and I think that sets us up well to continue building out that value proposition and extending it further around the globe. And then of course we spent quite a bit of time today talking about our progress in the new initiatives. Dolby Cinema in the course of the year has gone from one screening at AMC in Disneyland to 30 locations live today around the world, 220 committed, getting known (44:37) in China, Europe and the U.S. And Dolby Vision, remember when we – this time last year, there was not a Dolby Vision TV in the market yet and now we're in three out of five Dolby Vizio lines (44:47). We're in the 2016 lineup for LG for OLED and Super UHD. And now this quarter, we've got our first TV shipping in China. So, I feel great about the work we've done so far this year to establish the foundation for growth. And at the same time, we are growing revenue this year. So we look forward to doing all the things we need to do to keep that revenue growing, to getting back to double-digit growth ultimately and of course growing earnings along with it.
Steven Frankel - Dougherty & Co. LLC: Great. Thanks, Kevin.
Operator: And we'll take a follow-up from Ralph Schackart with William Blair.
Ralph E. Schackart - William Blair & Co. LLC: Hi. I had actually one more on the China 4K set-top box wins. May be just give us a little bit...
Lewis Chew - Chief Financial Officer & Executive Vice President: Yeah.
Ralph E. Schackart - William Blair & Co. LLC: ...more color on that, just in terms of how competitive or how long that process took and sort of implications going forward, potentially pave the way for broader Dolby standard in the country.
Kevin J. Yeaman - President, Chief Executive Officer & Director: Yeah. Well, this is the – so I think we spoke quite often a couple years ago about the terrestrial specification where Dolby Digital Plus is an option for terrestrial, then we've done well. Since then, getting operators – trusted operators on air, getting television. This is in the IPTV space and I think with these two significant wins we're on roughly, I think about 80% of the licensed IPTV providers have now chosen Dolby Digital Plus. So, Ralph, it all comes down to the pace of the rollout of digital television services in China and depending on each region is that more driven by IPTV, cable, terrestrial, but significant here is that whichever of those things it is, we've been successful at getting the relationships in place to make sure that, that we can play a role, however, that plays out.
Ralph E. Schackart - William Blair & Co. LLC: Okay. That's helpful, Kevin. Thank you.
Operator: And with no further questions at this time, I'd like to turn the call back over to Kevin Yeaman for any additional or closing remarks.
Kevin J. Yeaman - President, Chief Executive Officer & Director: Great. Well, thank you everybody for joining us today, and I will look forward to speaking with you again next quarter. Thanks.
Operator: And that does conclude today's conference. Thank you for your participation and you may now disconnect.